Operator: Good day and thank you for standing by. Welcome to the Otonomo's Second Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there’ll be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today Miri Segal. Please go ahead.
Miri Segal: Thank you, operator, and thank you all for joining us today. Welcome to Otonomo's second quarter 2022 conference call. Before we begin, I would like to remind you that our discussions today will include forward-looking statements that are subject to risks and uncertainties relating to future events and the future financial performance of Otonomo. Actual results could differ materially from those anticipated in the forward-looking statements. Forward-looking statements made today speak only to our expectations as of today, and we undertake no obligation to publicly update or revise them. For a discussion of some of the important risk factors that could cause actual results to differ materially from any forward-looking statements, please see the Risk Factors section of Otonomo's 20-F filed with the SEC on March 31, 2022. If you have not received a copy of Q2 financial results press release, please download it from the Investor Relations section of the company's website. Today's call will be accompanied by a PowerPoint presentation. You're welcome to view the presentation on Otonomo's Investor Relations website. Following the call, a replay of the webcast will be available on the Otonomo's Investor Relations website. Please also note that we will present non-GAAP operating loss on today's call, which is a historical non-GAAP financial measure. Because this financial measure is used in Otonomo's internal analysis of financial and operating performance, Otonomo believes that it provides increased transparency of management's view of Otonomo's economic performance. Otonomo also believes the presentation of this measure allows investors to more effectively evaluate and compare the performance of Otonomo to that of its peers. Although, Otonomo's presentation of this non-GAAP measure may not be comparable to other similarly titled measures of other companies. A reconciliation of this measure to its most directly comparable GAAP financial measure is included in the Q2 release. Today, we are joined by Ben Volkow, CEO, Director and Co-Founder of Otonomo; Bonnie Moav, CFO; Doron Simon, EVP, Strategy and Corporate Development; and Aldo Monteforte, Founder and CEO of The Floow. Ben Volkow will start with an update on the current state of the market and the business. Bonnie Moav will provide an overview of the company's financial results followed by Aldo, who will share industry feedback and opportunities represented by the combination of Otonomo and The Floow. We will then open the call for the live Q&A session. During the question-and-answer session of this call, Ben will be joined by Bonnie, Doron and Aldo. With that, I'd like to turn the call over to Ben Volkow. Ben, please go ahead.
Ben Volkow: Thank you, Miri. Hi, everyone, and thank you for joining Otonomo's second quarter 2022 financial results conference call. Q2 was our strongest quarter ever and was underpinned by solid momentum in our business, closing our acquisition of The Floow. While the underlying fundamentals of the business are good and we remain optimistic and positive about future growth, we realize that we are in an early stage market where top-line revenues may be less predictable. Farther given the current macroeconomic conditions, we have taken actions to reduce our expense line and will continue with our cost control measures. The transportation sector is undergoing a massive disruption as a result of the exceptional growth of mobility data. We believe that data and advanced data science capabilities are going to enable and create a new mobility economy. In fact, PTOLEMUS Consulting derives the mobility economy will represent about 9% of the worldwide GDP covering transportation infrastructure, vehicle manufacturing, vehicle transportation, and enabling technology services. Over the next five to 10 years, the mobility economy will create significant shifts towards on-demand mobility services and multimodal mobility underpinned by the build out of enabling Cloud and big data technologies. With over 1.5 billion vehicles estimated to be on the road by 2030, Otonomo's strategy is to develop the mobility data that serves as the catalyst for a new generation of services and experiences that we believe will represent over $100 billion in market opportunity for us by 2030. Our software defined approach delivers the significant value creation today for our clients in the two largest addressable segments for Otonomo: insurance and fleets. And our market engagement validates that thesis given our win rate in both sectors. This is truly a huge market in transformation and the opportunity is massive. As I indicated earlier, we continue to see momentum in attributes that are key to our business. Some of the highlights. On top of the impressive customer base The Floow brings to Otonomo, we added additional 13 new customers in Q2. Recurring revenues for the second quarter grew by nearly 10x quarter-over-quarter and was 69% of our Q2 revenue. Bookings increased by 62% quarter-over-quarter, backlog increased by close to 5.5x quarter-over-quarter. Annual recurring revenues increased by more than 11x quarter-over-quarter. Those are remarkable and transformative results and show the strength of Otonomo business and the market continued growth. We had exciting new wins in Q2. As we continue to see interest and demand for our core market of connected car use cases increased. For example, Orbital Insight, a geospatial data and analytics company will use the Otonomo platform to access connected vehicle data to enable their clients to derive greater more granular insights for their business. And as we announced yesterday, Geograma, a geographic information systems and location intelligence service provider is awarded Otonomo, a multiyear contract to provide multilevel connected vehicle data designed to advance road safety in Spain. In the fleet segment, we've signed multiple new contracts including Guidepoint Systems. Guidepoint Systems is a leading supplier of vehicle telematic solutions for OEMs, dealerships and commercial fleet managers. Guidepoint has recently expected into embedded data with Otonomo’s OEM connectivity, enabling access across manufacturers. Our continued success in winning new deals in the fleet domain, demonstrates that customers see the strong value in our software-defined telematic solution. In our early stages of onboarding fleet customers, we are observing slower pace than initially anticipated and therefore slower revenue ramp. We are walking on multiple initiatives to streamline those processes and we remain bullish on the space. We believe that as these accounts scale, along with others in our advanced pipeline, it will be positively changed Otonomo’s position in the market dramatically. Finally, Wisk Aero, a leading advanced air mobility company and developer of the first all-electric, self-flying air taxi in the U.S. shows Otonomo’s mobility intelligence platform to help translate quantitative input into quantitative insights, which allows Wisk to be more precise in its go-to market. On the product front. We had significant releases for fleet and mobility intelligence during Q2. In fleet, for example, we've introduced new advanced fleet maintenance and mileage management capabilities. These are the first of several new features to be introduced and provide customers with a breadth of insights and also fleet managers, a snapshot view of all relevant, connected vehicle data to easily and efficiently manage fleets of all sizes. User can set up push notifications for maintenance issues, such as low battery charge for electric vehicles, low fuel levels. And for more immediate issues such as when warning lights are triggered. We also updated Otonomo app on Salesforce AppExchange, providing customers new ways to unlock access to accurate mobility data. For single vehicles, as well as entire fleet using Salesforce sales cloud and service cloud. The latest version will utilize multifaceted functionality that allows customers to build upon workflows, trigger specific actions, access distance, and dispatch data, execute geofencing, and provide driver safety capabilities. For mobility intelligence, Otonomo released new solutions for three high growth categories. And electric vehicle is adoption, Mobility-as-a-Service and urban planning. These solutions expand Otonomo’s existing curated data product offerings with new actionable insights derived by applying proprietary data science, machine learning and advanced analytics. Our differentiator is in the fusion of rich data sources to understand multimodal human movement. The data depth and breadth includes daily after date sources from mobile devices, municipalities, charging networks, micromobility, performance, and soon integration of multilayered connected vehicle data. MaaS intelligence, Otonomo helps providers of mobility services match supply with up-to-date demand data by deploying stations in optimal location, based on predictive performance metrics, relocating their resources and rebalancing their fleet to maximize ride shift. This also helps cities drive positive model shift by increasing service accessibility of clear and adaptive mobility services. On the electric vehicle intelligence, Otonomo can now predict demand and works with EV charge point operators to pinpoint optimal locations for placing future charging stations. Data-driven EV planners gain access to accurate measurement of demand for easy charging sites in each city and precise mapping of undeserved zone across primary EV corridors. Urban Intelligence. Otonomo provides up-to-date visibility into mobility patterns in specified areas, including detailed region and destination metrics, visitation rates, traffic flow, and volume to allow transportation and city planners to design end plan networks based on local multimodal mobility means adding social demographic profile and purpose of trip creates even more value for urban planners. We’ve previously been limited with basic translate counting data. As you can see, it was a strong quarter across business fundamentals, customer win and product pipeline development. Now, for more detail on our Q2 financials, I hand it over to Bonnie Moav, Otonomo’s CFO.
Bonnie Moav: Thank you, Ben. Revenues for the second quarter 2022 was $1.9 million, compared to $281,000 in the second quarter of 2021. Growth was driven by our core connected vehicle data and the contribution of the flow revenues. Before I move further into the numbers, I want to remind you that our non-GAAP items consist of stock-based compensation expenses, depreciation, amortization of acquired intangible assets, contingent liability expenses related to The Floow acquisition and impairment and intangible of goodwill. Non-GAAP information is presented excluded these items. Our GAAP financial results along with the reconciliation between GAAP and non-GAAP results can be found in our earnings release. I will now turn to the detailed financial results for the quarter. Our GAAP operating loss for Q2 2022 was $65.6 million, compared to $5.6 million in the second quarter of 2021. The operating loss includes $45.8 million impairment of goodwill and intangible assets. In addition, the increase in the GAAP operating loss was mainly driven by operational expansion and acquisition of new companies and related to amortization of new intangible assets. In the second quarter, non-GAAP operating loss was $15.8 million, compared to $5 million in the second quarter of 2021, driven by our operational expansions and acquisition, as well as an increasing in amortization of new acquired intangible assets. Our cloud infrastructure expenses consists primarily of costs related to third-party cloud services, which increased by 128% from $586,000 in Q2 2021 to $1.3 million in Q2 2022. The increase is attributed to our growth in the amount of data, the company just processed and stores and the amount of data used by our data consumers. In addition, the cost increase as a result of the acquisition of Neura and The Floow. Cost of revenues includes purchasing of data of $0.6 million an increase of 116% year-over-year, which reflects the cost we pay to the OEMs and other data provider for their data used in our product. In addition $0.4 million is related to the cost of services provided to The Floow customers. Our research and development expenses and our sales and marketing expenses for the second quarter of 2022 were $5.9 million and $6.1 million and increased by 155% and 297% respectively year-over-year, mainly due to the accelerated workforce growth of 231% and 217% respectively, and includes the acquisition of Neura and The Floow. General and administrative expenses for the second quarter of 2022 were $6.1 million, compared to $1.1 million in the same period a year ago, representing an increase of over 448%, mainly driven from public company expenses and non-recurring acquisition costs. In Q2 2022, the company performed an interim goodwill and intangible impairment test, which was triggered by our recent decline in market capitalization. Management consider this recent decline along with other possible factors affecting the assessment of the company’s reported unit. The outcome of this impairment test resulted in a non-cash charge of $45.8 million, which was recorded in the consolidated financial statement for Q2 2022. Turning to the balance sheet. We ended the quarter with $169.5 million in cash and cash equivalents, short-term investment and restricted cash, a decrease of $38.6 million from year end 2021. This was mainly driven by acquisition of The Floow using $11 million in cash and operating cash activities of $27.3 million. Moving on to the guidance. We expect to continue to see a growth in revenues and other business key metrics in H2, but that growth may not be as fast as forecasted due to a combination of factors such as slower adoption rate by our fleet customers and macroeconomic condition adding uncertainty to the pace of new deal closing. We believe these are near-term challenges and we will remain focused on scaling our business and growing our customer base, while controlling expenses. Based on these factors, the forecast for 2022 should no longer be relied upon and we are not forecasting results for the second half of the year at this time. And now, I will turn it back over to Ben.
Ben Volkow: Thank you. Thank you, Bonnie. Another milestone in Q2 was the completion of the acquisition of The Floow either in connected insurance. I’ve asked Aldo Monteforte CEO and Co-Founder of The Floow to join us and give additional context to the strategy behind acquisition and why we think these positions are phenomenal for continued growth. Aldo?
Aldo Monteforte: Thank you, Ben, and good morning, folks. 10 years ago, I had a vision, a vision that we could reduce the number of automobile accidents and the number of fatalities. Our north star from day one was making mobility safer and to move the industry from an operating model of the tax and repair to predict and present. 10 years later, and the no small part due to the acquisition by Otonomo, we have never been closer to making a vision a reality and help our insurance partners go-to-market with the best connected insurance products ever conceived. So what is it about connected insurance products that make them special? Number one, precise and granular understanding of risk, which means pricing fairness. Second, intimacy with end users, which means ability to prevent outcomes. And third, immediacy of service for end users, which means dispatching timely support when most necessary being there for the customer when they need it, and accurately reconstructing risk events, which means more intelligence to manage the claim. The acquisition by Otonomo as delivered as access to one of the world’s leading repositories of connected car data, as well as the financial resources that are required to match our technical platform to our ambition. When I step back and observe the Floow as part of Otonomo, I cannot see another organization in the world that can offer under one roof, all the capabilities, data products, tools and resources that modern insurers require to compete and thrive in the connect new world ahead. The days of one policy fits all approach to auto insurance accounted drivers have unique needs and should be able to purchase insurance that fits their needs. It makes no sense to pay for more coverage than required. When Ben and I sat down just nine months ago, we both sense the immense potential in front of us. We saw three things. Number one, the power of fusion, which means the augmented precision and accuracy arising from the combination of smartphones with connected vehicle data to deliver a deep vista into the policy holders’ risk profile. In other words, a best of both words mitigating the weaknesses of each individual data source. The fusion is uniquely enabled by the combination with Otonomo represents the future of motor insurance, brings – bringing us steps ahead of everybody else. The second thing Ben and I saw was the opportunity to serve commercial insurers, who are behind personal lines in the adoption of Telematics and connected policies. So we can help their micro and small fleet customers quantify and actively manage fleet safety with the added bonus of fault alerts and maintenance information arising from native connected car data. And third, we saw potential in advanced analytics. Floow has always been respective for the quality and the efficacy of its scores and analytics. Our data products are now undergoing significant expansion due to availability of richer, original data sets coming from native OEM equipment, including camera and computer vision data. Since we completed the transaction, I have personally embarked on a world tour and met more than 40 clients and partners in seven countries and three continents and talked to them about the future of their business. And today, I would like to share the main insights I’ve taken away from those visits. The industry is pervasive by a sense of anxiety and trepidation. Insurance leaders are asking what is going to be our role in an intensely connected data and AI driven world. Their concerns emerge from four themes. First, the proliferation of connected car data and the more assertive role that OEMs take in the insurance space due to their native data control. Second, consumer rising expectations for exquisite digital experiences and interactions, a theme accelerated by the COVID pandemic. Third, regulatory changes, addressing discriminatory biases baked into traditional pricing criteria think of the debate around fairness of credit scores taking place in insurance in the U.S. And fourth, the search for artificial intelligence powered analytics that provides a better crystal ball, particularly with reference to lesser known risks, such as electric and semi-autonomous vehicles. Now you can see how Floow data refinery and solutions naturally enable our partners to turn all these threats into opportunities. In my interactions, without exceptions, all clients have validated the strategic value of the acquisition and confirmed our unique position to happen to help them – who helped them address existential challenges. In the brave new world ahead, insurers will struggle to profitably operate without reliance on sophisticated data collection and refinery capabilities. Either developed in house, which is very hard or provided by a data refinery partner. Those insurers who do not adapt will be outsmart by competitors with better predictive capabilities and the digital touch expected by end users. And, with this over to you Ben.
Ben Volkow: Thank you, Aldo. As you can see, we are experiencing very strong momentum in the business. Our plan and focus on high growth strategic recurring revenue sectors, such as fleet and insurance is bearing fruits. And we believe that the achievements of Q2 are a sign of small to come as we continue to scale and grow through the year. We are very excited about some of the activities and engagements we have progressing and then to share some of them with you in the next few weeks. We are in a rapidly growing business in a new and fast emerging market, why we have challenges on both the macro and micro levels we are very bullish and confident on the expected growth, our market position, execution strategy, and the results to come in future quarters. Operator, we are now ready to take questions.
Operator: Thank you. [Operator Instructions] We will now take your first question – please stand by. And your first question comes from the line of Josh Nichols from B. Riley. Please go ahead. Your line is open.
Josh Nichols: Yes. Thank you. Good morning. One, if you could provide a little bit of color for how the integration with the Floow is progressing and how much revenue did they – did the Floow specifically account for in the second quarter, I’m curious?
Ben Volkow: Hi, Josh. This is Ben. I’m happy to take your question. The integration with the Floow is going very well both on the technical level and also in organization level. On the technical level, we started combining phone and cloud data and really testing the vision of what we are to bring to the market, what we call the fusion, a combination of phone and cloud data, which we believe gives the best to insurance – to the insurance market in terms of coverage, but also in terms of quality and cost. And in terms of organization, post-merger integration we are moving nicely according to the plan. Big part of it is really Aldo and his management team that really 100% behind this and we all excited about the shared vision and what we can bring together to the market, which is very, very unique. In terms of revenues, we are not sharing the revenues for the flow for Q2. We are not opening it up at this stage. We might do it later on depending.
Josh Nichols: Fair enough. And then I know you mentioned that there’s some of these fleet customers that are taking a little bit longer to onboard. Any detail you could provide on what’s causing that. And I know you pulled the guidance for 2022, but directionally, could you give any additional information, like is it fair, that 3Q would be higher than 2Q since you’d have the flow for a full quarter? Or I guess directional guidance would be a little bit helpful.
Ben Volkow: It’s a good question, I would try to add, and Bonnie will elaborate farther if needed. We really see that our fleet onboarding with existing customers in terms of adding more vehicles on the platform is going slower than we anticipated. We are bringing new customers I think we share today in the call that we had a very high growth in terms of new customers. Definitely more than the previous quarter, but the onboarding, the expanding inside, the account is slower than we anticipated. Many times it’s related for our partners. They need to go and bring their customers onboard, or sometimes their plans are slower than they shared with us. However, some unexpected slowness in their business, we don’t see this as material impact, definitely not something that is changing our strategy and the strong demand and great feedbacks we get from fleet operators and plus in the sector. But maybe we’ve been a bit too optimistic in our guidance or internal expectations on the growth and the on-ramp of vehicles. Bonnie, anything you want to add?
Bonnie Moav: Yeah. I just want to add onto your second part of your questions that although we are not given any forecast for our H2 and we pulled the guidance for 2022. Just to remind you that in Q2, we were only able to consolidate the revenues from the flow for 2.5 months. So you can anticipate additional contribution to our top line from the flow for the second half of 2022. Of course, on top of the good momentum with the recurring revenues, as I mentioned in the business highlights and the continuous growth of – in revenues of Otonomo.
Josh Nichols: Thanks for providing some color there. You mentioned that you’re going to be a little bit more conservative on the OpEx investments going forward, given the macro risk. How much are those expected to come down quarter-over-quarter? Or what’s the target?
Bonnie Moav: So, as you know, when we keep repeating that from one call to another, we are very conservative with our cash management and our spending is watched very closely and we only spend to support the growth of our company. We are not massively planning to recruit, and we are looking to save some money on cloud services, purchasing of data and travel. In terms of percentage, I don’t want to commit here, but again, you need also to take into consideration that we are – we acquired a company that comes obviously with increasing our cost.
Josh Nichols: Thanks. So then last question for me is, I guess, there’s a lot of opportunities on the horizon longer-term granted it’s still relatively early stage. What do you think the largest revenue or real monetization opportunities are for the company in the second half? And is there a chance that you could start securing real sizeable contracts with some of these OEMs? Or is that still further out?
Ben Volkow: So I think really investing in areas where we see the largest potential, not just us, but also the analysts covering the market such as fleet and insurance. There’s another reason behind the size for the high investment in those areas. We have the right technology and the right data to approach those segments. And we also very well positioned, we believe in the market with unique technology for those segments. Those segments also represent recurring revenues, almost 100%, not all segments in the mobility ecosystem represent high recurring revenues. So fleet and insurance are the main focus areas for us. We see – we have – we see and we have nice large deals, for us large deal is seven figure deals in the pipeline, and we hope to be able to win them and share those some news about that in the coming quarters.
Josh Nichols: Thanks. That’s all for me.
Operator: Thank you. We will now take our next question, please stand by. And your next question comes from the line of Justin Barell from Citi. Please go ahead. Your line is open.
Justin Barell: Hey, this is Justin on for Itay. So super quick question. So, there was the question on guidance, but I guess what I’m trying to better understand, you highlighted some very strong momentum in the business. We kind of saw it expressed as growth in bookings, backlog, customer additions. So – and with all that strength that you kind of observed, can you just help us better reconcile the decision to pull the 2022 guidance? There’s a lot of volatility given the nascency of the market. But is there a general area where you guys are seeing weakness relative to plan? I know you talked a little bit about fleet. But is this may be perhaps more broad based as well? Is there any weakness that you may be seeing kind of coming through on the insurance side as well? Or is it more just generic and market weakness across the board or just organic? Thanks.
Ben Volkow: Thanks for the question, Justin. I think that for us as a company that a young company in the market, transparency is very important and we want to build the trust with analyst community. And it was important for us to share that we – things like the fact that we see the fleet onboarding going slower. I agree with you that it’s a bit of a double messaging heal, [ph] because definitely we see strong momentum. It’s our strongest quarter ever. We are very excited about what’s to come. But in the same time, we also give the messaging that we cannot stand 100% behind our previous focus. I think for us, it’s mainly we see on the macro that things are going a bit slower. We see customers waiting a bit before making decisions because what is happening in the market. And we are still not a 100% sure how it’ll influence our business. This is why it was important for us to come with this caveat and really to say that we cannot stand 100% behind our focus. We believe that in the end of next quarter, we will have better transparency. And maybe then we can give some more information where we believe we will end the year. Bonnie, you want to add anything?
Bonnie Moav: No, thank you.
Justin Barell: Is there a general, I guess, timeline, if we think about, I guess relative to this, maybe how far out and push to the right versus the initial expectations. There may be some delay or whatnot. Is there like a decent timeline that we could think about it? I know, giving the guidance is a bit hard, but at least from a directional point of view, you do mention near term, is there any way you can, I guess, better quantify that for a duration metric?
Ben Volkow: I will try to answer it in a way I feel comfortable and I think will give you a better visibility. I think some of the exciting things we share today is the high growth in recurring revenues in the high growth in bookings and the growth of the pipeline. So we really don’t think things will be pushed too much to the right. We are really building a very healthy and stable business based on number of periods, based on number of geographies and based on very high percentage of recurring revenues. I’m not sure I can supply more details than that at this time.
Justin Barell: That’s actually super helpful. So in terms of, I guess, the recurring revenue, can you just walk through, I guess the definition as to how you’re defining this recurring revenue, i.e., from more on the Floow side, like is all the Floow’s revenue considered recurring, or is there that slug that the variable might be more ad hoc or is that whole piece of the Floow business coming through is recurring revenue?
Bonnie Moav: Hi. So as I mentioned before in this business highlights, 69% of the revenues for Q2 were recurring. So you can understand that the Floow truly contributed to this high percentage. We view Otonomo as a SaaS company. And also the Floow is a SaaS company, which basically says that we are in the significant part of the revenues coming from the Floow and Otonomo are recurring revenues. This also contributed to maybe to the – a pushback of the revenues. We are really keen on closing deals. That’s not less than 12 months securing revenues for the future. So definitely we see ourselves as recurring a SaaS company.
Justin Barell: Okay. Got you. So it’s fair to assume then that all the Floow’s revenue is classified as recurring.
Bonnie Moav: Significant part.
Justin Barell: Okay. Thank you. Perfect. I’ll jump back in the queue.
Bonnie Moav: Thank you.
Operator: Thank you. [Operator Instructions] We will now take our next question. Please stand by. And your next question comes from the line of Ryan Koontz from Needham & Company. Please go ahead. Your line is open.
Ryan Koontz: Hi. Thanks for the question. I’m going to pick up in backlog there, did – can you tell me most of that came over from The Floow and obviously it sounds like a substantial portion as recurring. Any kind of direction you give us on the amount of that backlog that is recognized in next 12 months and typical contract lengths, these sorts of things, any kind of color there in the backlog will be really helpful? Thank you.
Bonnie Moav: So we’re not breaking up The Floow within the Otonomo at this moment. I can tell you that most of our deals or contracts runs between 12 months to 36 months. So obviously the backlog reflects that.
Ryan Koontz: That’s really helpful. I’ll jump back in queue. Thank you.
Operator: Thank you. There are currently no further questions. I will hand the call back.
Ben Volkow: Thank you, operator. Thank you everyone for joining us today. We look forward to seeing you in our next call. Thank you.
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect.